Operator: Good day, ladies and gentlemen, and welcome to the Kforce Incorporated first quarter 2010 earnings conference call. One knows that today's call is being recorded. At this time, I would like to turn the conference over to Mr. Michael Blackman, Chief Corporate Development Officer. Please go ahead, sir.
Michael Blackman: Right, thank you. Good afternoon and welcome to the Q1 Kforce conference call. Before we get started, I would like to remind you that this call may contain statements that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results may differ materially because of factors listed in Kforce's public filings and other reports and filings with the Securities and Exchange Commission. We cannot undertake any duty to update any forward-looking statements. I would now like to turn this call over to David Dunkel, Chairman and Chief Executive Officer. Dave?
David Dunkel: Thank you, Michael. You can find additional information about Kforce in our 10-Q, 10-K, and 8-K filings with the SEC. We provide substantial disclosure in our release and our hope is that this will improve the dissemination of information about our performance and the quality of this call. We are pleased with our Firm’s performance for the first quarter of 2010. As the quarter unfolded, we experienced a good start from unusual weather patterns in the middle, affecting our largest markets and then a strong finish, particularly in our technology segment. In March and April, we have seen a significant upturn in job requirements for tax that was abrupt and dramatic. The demand is across most markets and client sizes and may be the beginning of a sustained period of significant growth for our technology business. As the quarter unfolded, we also saw stability in both our HLS business units and F&A, with KGS declining slightly this quarter as expected. As I have been doing a while now, I personally travel to multiple markets to meet with clients, our field teams and investors. It is clear that the sentiment shift is real as clients are accelerating investments in awakening the abrupt demand change intact. It is interesting to note that the severity of the downturn and the resulting cutbacks together with uncertainty about the regulatory environment have shifted client emphasis towards using Flex consultants. We may be beginning to experience the temp penetration increase some have anticipated. In addition to permanent hiring stronger than we expected as clients rebuild lean staffs cut deeply during the downturns. Throughout the quarter, we continued our investment in our National Recruiting Center and Strategic Accounts teams and selectively added to our field delivery resources were appropriate. This in preparation for many leading economists believes maybe several years of increasing tech demand. We also made excellent progress in our back office projects aimed at improving associate performance in increasing operating efficiency throughout the upcycle. As I mentioned on our last call, our objectives for 2010, the second year of our three-year plan are to further penetrate existing Strategic Accounts, gain additional customer share and selectively target new accounts. We have diligently planned for this period with the goal of surpassing prior peak revenue and earnings earlier in the cycle. We anticipate using cash flow for continued debt retirement, share repurchase and acquisitions that meet with a very high hurdle. We are continuing to see opportunities presented to us, but are maintaining our discipline and standards. I will turn the call over to Bill Sanders, Kforce’s President who will provide his comments, and then Joe Liberatore, Kforce’s CFO who will provide additional insights on operating trends and expectations, and then I will conclude. William?
William Sanders: Thank you Dave and thanks to all of you for your interest in Kforce. The Firm continued its solid performance in the first quarter as we were able to balance maintenance of our revenue stream with selective investments to prepare for the upcycle. Our first quarter revenues at $226.7 million, which grew 0.9% sequentially and earnings per share of $0.07 reflect a continued strengthening of our business. Our diversified revenue streams are concentrated in some of the areas of greatest anticipated demand, both from a cyclical standpoint as the economy recovers and from a long-term secular perspective. We believe that Kforce is well positioned to equate people and an operating platform that will deliver exceptional results both for our clients and our shareholders. During the first quarter, we continue to invest in our centralized National Recruiting Center and our Strategic Accounts group, which coupled with selective investments in our field sales force position us to attain higher peak revenues and earnings levels than experienced during previous upcycles. Our largest business unit, Technology Flex, which represents greater than half of total Firm revenues performed well relative to the market in 2009, returning to sequential growth in Q3 2009. Q1 2010 revenues decreased sequentially by 0.3% from Q4, impacted by weather and our early completion of a large project at a client, but were 1.3% higher than Q1 2009. Tech Flex revenues recovered in January more quickly than in previous years from annual assignment ends, but were relatively flat in February and early March, with an upward trend later in the quarter and strengthened in April. Recent trends for Tech Flex are up from March levels as leading indicators continue to gain strong momentum in April. We therefore expect Tech Flex to have strong growth in Q2 and for the foreseeable future with a sustained increase in IT spending providing a strong catalyst. Our finance and accounting Flex business now represents 16% of total revenues, increased 0.8% sequentially and were down 0.7% year-over-year. We continue to see more demand in the lower margin job classifications, which is impacting gross margin. However, this business has been enabled by a Strategic Accounts strategy and is supported by our low-cost centralized delivery function and the national recruiting center, creating operating leverage. FA Flex revenues were relatively flat the first two months of the quarter and began to improve in late March. Recent trends for FA Flex were up from March levels. We therefore expect FA Flex to be up slightly in Q2. Our HLS business segment, which comprises 18% of total revenues, is made up of two businesses, clinical research and healthcare. During Q1, our clinical research business increased 12.8% sequentially, but decreased 9% year-over-year and healthcare decreased 1.8% sequentially and declined 14.7% year-over-year. This sequential increase in clinical research was driven by a combination of more billing days in Q1 and growth at a significant new client. We expect Q2 revenues to increase slightly as we see a ramp-up of activity at this new client. Our healthcare revenues have stabilized. Margins remained strong and hospital spend is beginning to improve. We believe in the demand for this profitable business and expect revenues to be up in the second quarter. Revenues for Kforce Government Solutions, our prime government contracting business decreased as anticipated by 4.4% sequentially and decreased year-over-year by 5.1%. This business is concentrated in some of the better funded areas in federal services such as healthcare, data integrity, finance and technology solutions and its growth prospects remain strong. In the near term, we continue to see the expected impact from in-sourcing as well as contracting delays and an increasing number of contract protests, which has delayed work and awarded contracts. We are also still performing work on two of our larger contracts that have been under protests. Should these protests not be upheld or should we lose re-compete opportunities on these contracts, revenues could be negatively impacted. I should also note that in addition to the Q1 pseudo impact, margins were negatively impacted by bill rate compression due to the government’s focus on cost reductions on re-competed contracts as well as a decline in our utilization rate from Q4. We expect margins going forward to improve from Q1 as utilization ramps but continue to be under pressure. We have made additional investments in business development in this unit, which we believe will ultimately mitigate much of the impact of these challenges and expect Q2 revenues to be flat than Q1 and then resume strong growth later in this year. Search revenues from direct placements and conversions, which were 3.5% of total revenues in Q1 increased 6.6% sequentially. Search in Q1 2010 was increased 0.9% year-over-year. This is the second consecutive quarter Search revenues have increased, but total revenues remain at low levels. Search revenues reflect an increase in conversions, replacement fees, stable to increasing. Q2 has started strong and we expect Search to continue to grow. We continue to diligently manage the performance of our sales associates, which are the most tenured in the Firm’s history and look to our internal KPI as one of our primary near-term forecasting tools. Our KPI strengthened in March and significantly further in April, as we have seen improvement in many of our Flex leading indicators, particularly in Tech Flex job orders. As a result, we have increased performer headcount in our sales, sales support and delivery teams even as capacity exists in our existing workforce. Core field Flex headcount was up 4% while core Search headcount decreased 5% sequentially. Total core field sales headcount is 2% greater than last quarter. All of our businesses are supported by our National Recruiting Center and Strategic Accounts sales team, which add additional leverage and speed of execution through the capacity that exists in the field sales force. These corporate sales teams have increased in size by 21% sequentially and have almost doubled over the past year. As we consider the quality of our revenue stream defined by diversified business footprint and 3,000 clients to whom we provide services at any point in time, we believe we are well positioned to maximize both market and client share as the economy rebounds. We have established a cost-effective delivery model in our National Recruiting Center and a large Strategic Accounts strategy has enabled us to evolve our revenue footprint to take advantage of our nationwide geographic presence and take customer share as large volume accounts continue to consolidate vendor lists. Additionally, we expect Search to continue to complement our revenue footprint. We are off to a solid start for the second year of our three-year strategic plan, which we are calling the race for the Triple Crown. We understand that our clients believe our services are a cost-effective way to acquire talent. Our immediate plans are continue to have a relentless focus and retaining our great people and to improve client satisfaction, while driving continued profitable revenue growth that will lead us back over the $1 billion mark in revenues and beyond. I will now turn the call over to our Chief Financial Officer and Executive Vice President, Joe Liberatore. Joe?
Joe Liberatore: Thank you, Bill. The Firm continued to perform well during the first quarter of 2010, coming in at the middle of guidance for revenue and at the high end of guidance for earnings per share. Revenue from the quarter of $226.7 million increased 0.9% sequentially and decreased 2% year-over-year. Flex revenues of $218.8 million increased 0.7% sequentially and were down 2.1% year-over-year. Search revenues at $7.9 million increased for the second consecutive quarter by 6.6% sequentially and increased 0.9% year-over-year. This is the first year-over-year increase in Search in seven quarters. We estimate that the weather-relating impact on Q1 revenues to be between $900,000 and $1.2 million. Our revenue trends for the beginning of the second quarter of 2010 are up from March levels and key indicators continue to trend positively. For the first four weeks of April, Tech Flex was up 12.6% [ph] year-over-year, Finance and Accounting Flex was up 1.8% year-over-year, and HLS was down 3.3% year-over-year. Search revenues were up 58.6% year-over-year for the first four weeks of Q2 2010. We caution that it’s difficult to draw conclusions for Q2 based on this limited data. Net income of $2.7 million and earnings per share of $0.07 in Q1 2010 decreased sequentially 23.4% and 22.2% respectively compared to Q4 2009. These declines are largely a result of the reduction in Flex gross margins due to the increase in payroll taxes at the beginning of each year, coupled with the continued investments in our National Recruiting Center, Strategic Accounts infrastructure, and field sales associates. Year-over-year, net income and earnings per share declined 14.3% and 12.5% from $3.2 million and $0.08 in Q1 2009. Q1 results were positively impacted by one-time true-up related to foreign income taxes of approximately $300,000, resulting in a Q1 effective tax rate of 29.8%. Our overall gross profit percentage of 30.1% decreased 100 basis points sequentially, primarily as a result of the increased payroll tax expense experienced in the first quarter and decreased 110 basis points year-over-year, primarily as a result of changes in business mix in our F&A business and the margin impact in our government business as described by Bill. Our Flex gross margin profit percentage of 27.5% in Q1 2010 decreased 120 basis points sequentially, largely due to the increase in payroll taxes payable at the beginning of each year. The increase in payroll taxes reduced Flex gross margins by approximately 90 basis points. This is approximately 30 to 40 basis points greater than the 50 to 70 basis points impact we have seen historically, but less than we originally anticipated, which could have been as much as 100 basis points. We believe we have done a good job passing through much of the increase due to costs and this continues to be an area of focus. Additionally, there continues to be pressure on bill rates and pay rate spreads across our businesses. In general, we have been very successful on passing a significant portion of pay increases of our billable consultants on to our clients, although there is typically a lag in bill rate compared to pay rate increases as demand strengthened and supply tightens, leading to some margin compression. We have been particularly successful balancing these spreads in our largest business, Technology Flex where margins were essentially flat year-over-year. Staffing bill rates have increased 1.8% sequentially, but decreased 2.6% year-over-year, and pay rates have increased 2.9% up sequentially, but decreased 0.9% year-over-year. As we look forward to Q2, we will continue to focus our efforts on managing bill rate and pay rate spreads though we expect margins to continue to be under pressure as the work for talent heats up in this candidate-constrained environment for highly skilled workers. We believe our centralized National Recruiting Center provides the Firm with a competitive advantage in this area and has been a key contributor to the relative maintenance of our margins. Historically, we have seen margins begin to expand three to four quarters into an economic recovery. This would suggest margin expansion potentially in the second half of 2010. The Firm continues to manage operating expenses, while continuing to make investments to improve operating leverage. Operating expenses were 28.2% of revenue in Q1 2010, a decrease of 10 basis points from Q4 2009 and a decrease of 50 basis points from 28.7% in Q1 2009. The majority of our cost structure is variable in compensation-related expense which is highly correlated to gross profit, comprises over 75% of our operating expenses. A key benefit to the investments in our National Recruiting Center and Strategic Accounts group is to improve the performance of our field sales associates, thereby reducing the cost of expensive turnover and the need for significant hiring as demand increases. As this performance improves, we anticipate more productive delivery of our services, which should improve operating leverage. We believe revenues can grow as much as 25% without having to add significant sales headcount. Though our selective investments in headcount during the quarter positioned the Firm to better penetrate specific market opportunities and also add additional capacity in our high growth Strategic Accounts and National Recruiting Center. We continue to see improvements in our non-compensation based cost structure as a result of the significant infrastructure investments made over the past four or five years. As we look forward, we expect these investments to allow operating efficiencies to evolve and produce corresponding leverage in earnings over the next few years as revenues grow. Our accounts receivable portfolio continues to perform well. The percentage of receivable days over 60 days decreased to 4.2% in Q1 and net write-offs were approximately 218,000 in the quarter. Our allowance for doubtful accounts is currently $6.8 million and we believe sufficient to account for the current risk in the portfolio. EBITDA an indication to the Firm’s strong cash flow was $8.6 million or $0.21 per share in Q1 as compared to $9.6 million or $0.24 per share in Q4. Year-over-year, EBITDA decreased 12.5% from $9.8 million in Q1 2009. Bank debt at the end of Q1 2010 of $19 million is up from $3 million at the end of Q4 2009, but down from $44 million at the end of Q1 2009. This sequential increase was primarily a result of increase in accounts receivable and the timing of payment of payroll and accounts payable items. Borrowing availability under our credit facility which expires in November of 2011 was $70.5 million at the end of Q1 2010. Capital expenditures in Q1 for normal business operations were $1.9 million and are expected to be $6 million to $8 million for the year. Additionally, during April of 2010, the Firm entered into an agreement to acquire its corporate headquarters in Tampa, Florida for $28.5 million, which is expected to be funded under our credit facility. The acquisition is anticipated to close in May 2010. We anticipate 2010 expenses to be reduced by approximately $500,000, but the impact in Q2 will be nominal. Going forward, savings resulting from the purchase should exceed $1.4 million annually. The Firm made no significant repurchase of stock during the quarter and have 71.2 million available for future stock repurchases under the current Board of Directors’ authorization. In terms of guidance for the second quarter, we expect revenues may be in the $238 million to $245 million range, earnings per share may be between $0.10 and $0.13, with approximately 40.4 million weighted average diluted shares outstanding. Our effective tax rate each of the next three quarters is expected to be approximately 39%. This guidance contemplates a strengthening in our business, driven by continued growth in Tech Flex. Achievement of the low end of guidance would result in sequential total Firm revenue growth of 5% and the high end assumes 8.1% growth, including continued improvement in Search. The second quarter of 2010 has 64 billing days versus 62 billing days in the first quarter. We are pleased with first quarter results. We continue to invest in our business to take advantage of the economic upturn and believe we are well positioned to outperform if the economy recovers. We have quality revenue stream and balance sheet, strongest management team and most tenured and talented associate population in our history, and we expect to capitalize on the capacities that exist in our current employee base to increase leverage and accelerate earnings as the economy rebounds, positioning the firm to attain prior peak earnings earlier in the cycle. Terra, we would like to now open up the call for questions.
Operator: (Operator instructions) We will go first to Kevin McVeigh.
Kevin McVeigh – Credit Suisse: Great. Thank you very much. Great execution in the quarter. I wondered Dave, or whoever it makes sense, could you help us understand, it seems like traditionally the light industrial recovers and then some of the more professional services are lagged by two to three quarters, but given your first quarter results and second quarter guidance, it seems like that’s narrowed pretty significantly, and I just love to get your thoughts on what’s driving that. You have done a great job to the downturn, is it the NRC, is it the sales force? And then just in addition to that, can you talk about the leverage because your SG&A as a percentage of revenue, the leverage was embedded in, in the fourth quarter, which is seasonally weaker. So, you have got a lot of real positive dynamics. So, I just like to understand a little bit more.
David Dunkel: I will give you some commentary on the market and then Joe can comment on the SG&A leverage. It’s interesting, because this recovery is not like the ones that I have experienced in my 100 years of staffing. The interesting thing is we are seeing, as evidenced by our perm placement, we are seeing hiring happening earlier in the cycle and coincident with the improvement particularly in Tech. We think this is predominantly due to the fact that many of our clients that has been collaborated by our meetings with clients cut very, very deeply. In fact, cut the positive cash flow and as the stability returns, they found themselves really short-handed. So, they have been doing direct hiring and also converting consultants where we are benefiting on the Search side but losing to some degree on the consultant billings in the Flex side. And I would say this is predominantly in the Tech area. Can’t really speak to why the traditional relationship with the labor categories is happening the way that it is, I have watched and seen that many of the manufacturing firms are beginning to hire again, and I think I would attribute it predominantly to the really unusual nature of this downturn, the severity of it. And you think about the catastrophic impact of the Lehman bankruptcy and the fear that gripped the markets and all of those things I think accentuated a lot of the cuts that people made, and what we are seeing now is an element of stability. And I mentioned in my prepared remarks, there is no question that we are seeing also the clients choosing to use our Flex consultants rather than beefing up their own internal staff and that’s directly related to the pain that they suffered and the cutting that they had to go through during the downturn and the uncertainty related to the regulatory environment. So, I think we are benefiting in that regard. Joe, you want to comment on SG&A?
Joe Liberatore: Yes, Kevin, from an SG&A standpoint, we are really seeing the benefit of our tenure in work staff. We work very hard on retention of our employee base, that’s not just our field-based associates, but that’s also our back-of-the-house. So, we really pick up a lot of efficiencies, because of that tenured workforce from a compensation commission standpoint out in the field, and then from a lack of need of really expanding our back office operations to get a lot of things done because these people work together for so many years and they are just so efficient. The other items are, we are sniffing to buy product with a lot of the investments we have made over the past five to six years on our infrastructure and gaining leverage from that infrastructure. So, we have really taken down on our, what I would consider fixed cost infrastructure, we are getting leverage off of that, and we continue to plan on – continuing to gain leverage off of that. And so, even albeit while we are getting improvements from an SG&A standpoint, we believe we still have significant capacity and actually as we move from Q4 into Q1, we added to our sales support infrastructure, you know, Bill mentioned some of those numbers in terms of the NRC and our Strategic Accounts group. So, we are adding the sales capacity as well.
Kevin McVeigh – Credit Suisse: Let me just sneak one more and I will get back in the queue. In terms of the healthcare bill, how does that impact relationship with the temps, number one? And then number two, how does that impact the HLS segment?
Joe Liberatore: Yes, from a healthcare reform, I think the way that I would categorize it and I will talk about Kforce specifically, I don’t think anybody is excited about the potential increase in costs to do business, but we believe on a relative basis that we will feel less of an impact than many of our competitors. We have plans in place for over 75% of our population which really will not put us in that difficult spot of having to make a decision of do we want to offer those employee benefit or do we want to pay the excise tax, because those plans are not really going to be affected by the healthcare plans. I mean, over the years, the healthcare costs have continued to rise, we have absorbed these costs and they are basically embedded in our operating costs as part of doing business. In comparison, we have seen quite a few of our competitors over the years really drive the plans that are more fully funded by the employees and these are plans that really have targeted at. So, we are very comfortable where we stand from our perspective realizing over 75% of our population is not really going to be impacted by this.
William Sanders: This is Bill, Kevin. On the healthcare side, business side of healthcare, there are a number of rules that are already in place for healthcare in the coding area. There are new coding activities that are going on, coming into place in 2010, which are quite significant for the coding aspect of what we do. On the other side of that, the electronic record is going to be quite significant as well. So, that will affect our IT group quite a bit. So, we have a specialized vertical addressing those issues, and so, we look forward to that piece of it for our business.
Kevin McVeigh – Credit Suisse: Superb, thanks.
William Sanders: Thank you.
Operator: And from R.W. Baird, Mark Marcon.
Mark Marcon – R.W. Baird: Good afternoon.
William Sanders: Hi Mark.
Mark Marcon – R.W. Baird: Terrific execution particularly in terms of managing the SG&A and seeing leverage come through, can you talk a little bit more about, you used the words sudden, abrupt, dramatic in terms of the pickup in terms of IT, was that truly across the board or does it have something to do with some of the contracts that you have been going out and visiting and maybe making a little bit more progress with urge to getting some larger accounts, or can you just give us a little more color there?
David Dunkel: Hi, those words were chosen carefully because we have really as we monitor very closely our KPIs, we spend significant, and the interesting thing is it is cross markets and it’s cross client sizes. So, while we certainly seen an impact from our Strategic Accounts initiative, and benefited substantially from that, as we look at the marketplace as we are really seeing it across different client sizes, different industry groups and different marketplaces, the west has been particularly strong for us this quarter and it has had a great start to the second quarter as well. So, I would attribute it predominantly to what we are seeing in the press about the massive investment in technology and all increasing productivity and the result of catch-up and delayed projects from the last several years.
Mark Marcon – R.W. Baird: Great. And are you seeing any impact with regards to a couple of your competitors that are recently going through some corporate transitions?
David Dunkel: Yes, we have seen to some degree, we have seen some people that have come to us from some of those accounts. I can’t attribute any revenue to it, but at this point in the game, I would say that it’s still muted; it’s still in a period of transition.
Mark Marcon – R.W. Baird: Great. And then you mentioned the bill rates are still under some pressure with demand picking up as much as it is, what point do you think bill rates could actually start improving on a year-over-year basis?
Joe Liberatore:
William Sanders: Basically, we have contracts that are annual in nature and as those contracts renew, that’s when we start seeing the improvement in spreads as well. Yes, because I was really answering to spreads now, I believe you specifically asked about bill rates. Bill rates were actually up on a sequential basis.
Mark Marcon – R.W. Baird: Right, I noticed that. Just as I look at it, it looks like the current bill rate is relative to the middle of last year’s still low but down, so I mean, obviously, in Q4, it came down a little bit more than relatively easy sequential compare, but as I was thinking about at what point does it start trending up year-over-year and you answered that. And then in terms of the pay rates, do you have enough flexibility to manage those within the bill rate context or lot of the contracts spread-based?
Joe Liberatore: No, I mean, both of our business, that will have an opportunity to move it, but as the bill rate suggests, so historically we are pricing on both sides and supply demand just drives so much of that. I mean, based on how severe this demand increases, I mean, it’s going to be more quickly and you have seen some of the press out there already in terms of what’s happening with what pay and some of the anticipated increases there. We are dealing with predominantly the college educated which never hit the same unemployment rates as the general population. So, one would translate to that, but you would see it a little bit exponentially impacting that population. So, that’s the area that we focus on.
Mark Marcon – R.W. Baird: Got it, thank you.
Joe Liberatore: Thank you.
Operator: Next, we will hear from Tobey Sommer with SunTrust Robinson Humphrey.
Tobey Sommer – SunTrust Robinson Humphrey: Thank you. I had a question for you, one of your prepared remarks saying that potentially peak margin in EPS could happen earlier in the cycle. Is it fair that, that potentially GP could be – percentage could be lower but we would get more SG&A leverage in terms of reaching that goal early in the cycle or should we think about it differently in terms of the composition of getting to that outcome?
Joe Liberatore: Yes, I think you should about it as total Firm GP absolutely than lower than it was in the prior cycle just because of the mix of where we are from a Search contribution versus Flex. I mean, that just inherently drives down the margin, and yes, we are focused on controlling SG&A and gaining leverage from that fund.
Tobey Sommer – SunTrust Robinson Humphrey: And just had a question for you about compensation of the field staff and recruiters, both in the field offices as well as your focused efforts, your (inaudible) efforts. Are you doing anything to tweak the compensation whether it’s favoring margin or favoring volume of sales and sales growth, exiting the recession, I know sometimes there may be certain priorities you have in the depths of recession in different ones as we exit, I am wondering if that’s manifested itself and a change in compensation?
Joe Liberatore: Yes, we have – compensation is near and spend quite a bit of time understanding the competitive landscape. In fact, we have an office, which is our Chief Talent Officer, who reports directly to me, which actually is the seat that I sat in prior to stepping into the CFO seat, because this is such a cost component of our business as well as it’s a revenue driver. Our plans are all performance-based. We are totally confident and virtually every acquisition that we have looked at, our top performers make top pay in the industry and those that are underperforming make a lot less here and typically don’t stay around here very long. So, I believe that our compensation structure drives the behaviors that we are looking to get after, which is capturing customer market share.
Tobey Sommer – SunTrust Robinson Humphrey: And just had a question for you on the government side, I think you mentioned some re-competes that you are continuing to do work on, when do you expect to hear back on those re-competes and how meaningful are they for the segment?
William Sanders: This is Bill. They are quite meaningful. We expected to hear at the end of last year, we expected to hear in the first quarter, and we expect to hear in the second quarter. The government has really slowed down significantly with the administration change and so there is a lot of issues that need to be resolved, and certainly, the government is getting to a position, they are going to have to speed some of this up, but at the moment, on those two, it’s working to our advantage. There are other contracts that’s not working to our advantage. So, the past quarters are not being let, but at the moment, it would be significant to that unit, not overly significant to the Firm as a whole.
Tobey Sommer – SunTrust Robinson Humphrey: Thank you. Two kind of detailed questions if I could, how many billing days in the third quarter, in the fourth quarter of this year? And then how should we think about incremental margin? If I am doing my math correctly for guidance, it implies I think something above 20%, is that a reasonable way to think about this?
William Sanders: Yes, Tobey, so for Q3, we will have 64 billing days, and for Q4 we will have 61 billing days. And restate your margin question?
Tobey Sommer – SunTrust Robinson Humphrey: If I am doing my math correctly relative to 2Q guidance and the 1Q results, that incremental operating margin, EBIT margin seems to be kind of in the mid-20s. Is that a reasonable way to thinking about it, again if I am making my calculations correct?
William Sanders: I am not sure when you are talking incremental operating margin, I mean, we can say this, certainly as revenues improve which we anticipate, there will continue to be a better EBIT and a bottom line margin percentage, if that’s what you are referring to.
David Dunkel: I think you mean SG&A, don’t you tell me that the SG&A would be in the mid-20s, is that what you are saying?
Tobey Sommer – SunTrust Robinson Humphrey: No, no, I will handle it offline. I am talking about the incremental operating margin per revenue dollar. Thanks.
David Dunkel: Okay, all right. Thank you.
Operator:
Portuner Hue – Deutsche Bank: Hi, thanks for taking question. On investments, you talked about 2Q versus 1Q, anyway to size that? I mean, obviously SG&A was flat QonQ, what’s the kind of growth look like into the second quarter? Thanks.
Joe Liberatore: Yes, I will crack from an SG&A standpoint. It’s fairly, fairly stable. And similar to what we saw last year, in terms of margins, we are about an 80-basis point improvement sequentially from Q1 to Q2. This year, with the dynamics associated with where we are in the cycle from a potential compression, we don’t have anything aggressive from margin expansion built into our guidance at this point.
Portuner Hue – Deutsche Bank: Okay. So, in that case, SG&A is pretty flat. It does look like kind of on a QonQ basis. It would seem like your – unlike last year, your gross margin, your overall gross margin Tech Flex line was up this quarter, it’s probably going to be at least on a QonQ basis 2Q versus 1Q would be actually down, is that right?
Joe Liberatore: No, it would be up on a sequential basis, maybe not quite the same extent as what we experienced last year. And again, we like to model from a conservative standpoint.
Portuner Hue – Deutsche Bank: Understood. Thank you.
Operator: And from Stifel Nicolaus, Jim Janesky.
Jim Janesky – Stifel Nicolaus: Yes, a couple of questions, Joe, just to clear up the question on peak margins, before you bought your Government Solutions practice, you achieved peak margins overall when Perm was growing 25% to 35% [ph]. So, I understand that, that’s going to affect the mix, but to say that, that’s going to occur earlier in the cycle, Perm side, I assume that’s it still – the majority would come from SG&A leverage unless you expect a change outside of Perm in the gross margin profile of some of your businesses going forward. Is that the way to look at it?
Joe Liberatore: Yes, I mean, you have to understand, we are a very different firm today than we were in the last cycle in terms of the makeup of our population, in terms of the infrastructure and the leverage capabilities that we have, we spent enormous amount of time building out our shared services function, building out our National Recruiting Center and things we are doing from a Strategic Accounts standpoint. So, really allow and enables our field associates to be more productive. So, operating leverage is really what it’s all about. So, to answer the question, we don’t need the 10% mixture of Perm to back to those same operating margins that we experienced the last time around. We have completed reengineered the firm, and that’s basically how we are operating.
Jim Janesky – Stifel Nicolaus: Okay. Great. That’s helpful. Shifting to finance and accounting, if you can help us understand, the Flex revenues were roughly flat sequentially, up a little bit. The Perm, the Search revenue jumped in the fourth quarter over the third quarter of 2009, but then we are flat into the first quarter of 2010. I think that you have explained that the majority of the search of course moving and the early hiring is happening in the Tech segment. Dave, can you comment on the F&A segment, what are the trends there outside of the comments that you made about billing and where the business is?
David Dunkel: Yes, I would say that looking at F&A, what we see is a consistency, but no major catalyst to accelerate the revenue. There has been a lot of discussion about IFRS and so forth, but the reality of it is that the drivers for F&A are growth, M&A activities and regulatory change. And from our perspective, we don’t see any of those things happening. However, we are benefitting from our Strategic Accounts relationships and because of our tenure in the market, we expect that we will continue to take market share. So, this is isn’t going to be for F&A like it was in the last cycle where there was a Sarbanes-Oxley impact, there was a lot of M&A activity. We believe that this cycle for M&A will probably be somewhat muted. We can grow it, we will grow it, but this one is going to be a tax recovery.
Jim Janesky – Stifel Nicolaus: And so you are not – so you are finding within Search that folks are a little bit more conservative or hesitant about making permanent hiring decisions there than they certainly are within the Tech segment right?
William Sanders: Jim, this is Bill, that’s true, but we would also say that – I would emphasize what Dave just said that our investments in Tech. So, for example, and when they search year-over-year as people we have, S&A Search down 48% versus being down 23% and Tech. We are continuing to maintain our Search team and Tech because that’s where the cash is.
Jim Janesky – Stifel Nicolaus: Right, right. So, down headcount in F&A, but year-over-year, the revenues are roughly flat. So, I mean you are getting, these must be pretty tenured people that are extremely productive, is that accurate?
William Sanders: Yes, these are the tenured people, that’s where we wanted to hold on to, and those are the people who have stayed and we have supported them with the National Recruiting Center from AAF [ph] delivery standpoint and of course the other side of it is there is still capacity, because these are our top performers, these are people who in historical cycles have performed significantly better than they are even now. They are very important to our firm. They are very important to us from a client servicing standpoint. So, we have worked hard to make sure that we give them the support they need. Unlike in past cycles where they might be working with a junior recruiter in the field, which would affect overall G-pay and would skew the headcount, we have taken a different approach this time and servicing them from a delivery standpoint.
Jim Janesky – Stifel Nicolaus: Okay. Great. Thanks.
Operator:
Josh Vogel – Sidoti & Company: Thank you. I just have a couple of quick ones here. I missed what you said, what the tax rate was lower in the quarter; can you just go over that?
William Sanders: Yes, it was a foreign tax true-up that we did in the quarter as we drove that rate down.
Josh Vogel – Sidoti & Company: Okay. So, then we should expect to near 40% range for Q2 and going forward?
William Sanders: Yes, in my opening comments, basically 39% for the remainder of the year.
Josh Vogel – Sidoti & Company: Okay. Great. And can you just talk about your typical Tech or IT client, are these mostly small or medium-sized businesses or do you have relationships with some of the bigger players because we have seen a lot of reports that the Tech clients are adding headcount, I wanted to know if you are playing in that market?
Joe Liberatore: Absolutely, we are playing in that market. We think we have a very nice mix between the different segments in size, but 23% of our revenues come from our Strategic Accounts clients and they are very active in the Tech Flex area, particularly in April Dave was talking about. Our other clients – the giant clients are very aggressive right now and the job order flow, I think they were suggesting Tech Flex job order flow has increased dramatically in some weeks as much as up 35% sequentially.
Josh Vogel – Sidoti & Company: Okay. Great, thank you.
Operator: And from Northcoast Research, we will go to John Healy.
John Healy – Northcoast Research: Hi good evening. Question for you regarding acquisition activity, I was hoping you could revisit what maybe some of your goals were in terms of hurdle rates and how you like the deals, and when you look at kind of the portfolio of the company today, it seems like you are most upbeat about the Tech component of the business, and maybe if you will try to prioritize for us what areas of the portfolio would be of highest priority to make acquisitions and if there is a certain percentage of the portfolio that you want to keep Tech? Thanks.
David Dunkel: John, this is Dave. The number one consideration is culture. It’s always culture. If the culture doesn’t fit, freeze too much. So, we walk away from a lot of transactions on that basis of that alone. The primary consideration after that is whether or not it will be additive to us, Tech has been a focal point for us as KGS has as well. When we look at Tech today, we are looking at acquisitions that will be additive to our markets, strengthening our markets and helping us to gain additional share and our clients. As we have discovered over the years, the more significant we are to a client, the greater the share we have, the better opportunity we have to be their partner, we were entrenched, we become and frankly from our standpoint, that gives us a more stable revenue stream and an opportunity to grow our business over the long term. So, that was a specific strategic effort that we made. As far as hurdle rates and those kinds of things, we have a number of different considerations. We certainly wouldn’t want to tip off any of our guys than what it is that we are willing to pay and what our hurdle rates are. Activity has been good. We have seen a number of acquisition prospects. The good news is that based on where we are today from our business, we don’t have to do anything. However, it would be from our standpoint desirable to do earlier in the cycle versus later, because we are focused on achieving peak earnings and peak revenue earlier in the cycle. So, we are headed down and executing and that’s our focus right now.
John Healy – Northcoast Research: Appreciate it, thank you.
David Dunkel: Thank you.
Operator: And we will go back to Mark from R.W. Baird.
Mark Marcon – R.W. Baird: And just sort of follow-up with the regard to the discussion around peak margins, last time around, we ended up seeing peak margins on a quarterly basis, but on the EBITDA side approach 9.7%, how much higher do you think you can get if, you know, the census [ph] being a normal lengthened cycle? I mean, obviously nobody really knows how that’s going to unfold, but if this were to go on for another four or five years?
Joe Liberatore: Yes, Mark, we had our goal out there last time, we were chasing 10%. We have been there before. That still remains the goal. So, as we look at our business planning and our three-year strategic planning, we are building plans that did allow us to get to those levels. Once we get there, then we will set the next target, but that’s the target that we have in our sights.
Mark Marcon – R.W. Baird: Okay. Great. And then can you talk a little bit about the in-sourcing dynamic with regards to KGS? How are you approaching that? I mean, it sounds like there is a lot of cross currents there?
William Sanders: We are approaching it with a tier I guess. In-sourcing by the government has affected us pretty significantly. We are somewhere between 8% and 10% of the activity. It’s from in-sourcing. In-sourcing has two pieces to it. It’s not only just the actual in-sourcing of clients that of our consultants, there is also de facto in-sourcing where past quarters are not renewed and basically the government takes our people and sets all the business itself. So, we are looking at 8% to 10% currently. We believe that this will run its course as the administration becomes more confident and numbers that really cost to take people over in the training and the benefits and all the additional things to go on with having a permanent sales force. So, that’s important to us. On the other side of that, of course we just have to have more wins, the proposal side, and we have pretty dramatically increased our win percentage, new proposals to 63%. We have 28 RFPs out there we have responded to today. And so, we look forward to probably a flat second quarter but some strong improvement in the second half of this year for KGS.
Mark Marcon – R.W. Baird: Bill, I appreciate the color, can you talk a little bit how you are thinking about this, the longer-term trajectory of that business given everything that’s been occurring?
William Sanders: I would say we are certainly are bullish. We think we have an outstanding team there with Larry Grant and Glen Shaffer of that team. So, we are looking for strong growth overtime. We have set a bar for organic growth that we think that should be achievable and that’s 15%. And so, of course things have to settle down on the government. The government has to get the contracting offices in place, we have to do something about all of these protests that are delaying activities, but we have beefed up our sales, business development team, of course there is longer sales cycles in this business, but we believe we have put together a team that should achieve that 15% growth over a long period of time.
Mark Marcon – R.W. Baird: Great. And then lastly, just on the clinical research sub segment within HLS, it sounds like things have stabilized there and we are starting to see a pickup. How do you – I mean, there has been all sorts of news that’s been occurring in big pharma land, how are you thinking about the longer-term growth rates that were there?
William Sanders: Yes, this has just stabilized in the first quarter. It had a 12.8% growth which was pretty significant. So, we believe we are in the right place, functional outsourcing and monitoring site management of clinical trials is we think is very important. We believe we will be a strong player in this, no matter how the integrations of these major clients, we have a very strong presence in large clients. We are building a very nice presence in mid-sized and smaller clients. And so, we believe there is a lot of opportunities to do things here, and this is a great team we have, and we will continue to expand that business.
Mark Marcon – R.W. Baird: Great. Thanks for the color.
William Sanders: You bet, yes.
Operator: And from Credit Suisse, Giri Krishnan.
Giri Krishnan – Credit Suisse: Hi, thanks for taking my question. Just have a couple of real quick ones, I think last quarter, you provided growth in the number of Strategic Accounts I believe, do you have the data this quarter?
Joe Liberatore: This quarter, it looks like it’s going to be somewhere around 2% to 3% growth over last quarter. Last quarter, it was pretty significant, and growth this year, this quarter has been less. Obviously there is less billing days and there is the weather, things that are involved. I would say to you though over the last year, we have almost doubled that group. They are ramping up and we believe that they will achieve pretty significant growth for the Firm. We are certainly looking for growth to ultimately get us to somewhere around 30% of the revenues that we have in the Firm would come our Strategic Accounts.
Giri Krishnan – Credit Suisse: And as you think about the composition of your sales associate of sales force and you look at the areas that are attractive, any talks around how the mix of skills or domain knowledge etcetera might change looking ahead?
Joe Liberatore: Well, as we mentioned, Tech Flex and Tech in general is a hot area and the NRC for example, we are surging that team to address the significant influx of job voters that we have seen, I mentioned earlier, 35% sequential growth, and job voters for the firm that we have seen. So, as the mix continues, we will be after the Tech Flex area, predominantly although Tech Flex has also improved pretty dramatically. So, there will be a shift and that’s why we built this in our NRC, which is very elastic and the way that it can respond to client demand and that’s working out very well for us.
David Dunkel: From a sales standpoint, Giri, the focal point, our teams are pretty flexible, enable to move to where the skill set demand is, but we also have verticals, we have federal vertical, as you know, we also have healthcare vertical, we have financial services, and we will continue to pursue those verticals, have opportunities as Bill mentioned earlier where we can take healthcare technology and combine it with our healthcare billing systems capability. So, those are all things that we look at as we look at industry verticals. So, we are comfortable with our domain knowledge and domain expertise, and if we look at our technology revenue footprint as a whole, it is quite diverse actually.
Giri Krishnan – Credit Suisse: Okay, that was helpful. Thank you.
Operator: And there are no further questions at this time. Mr. Dunkel, I will turn the conference back over to you for any closing or additional comments.
David Dunkel:
Operator: Ladies and gentlemen, that does conclude today’s conference. We thank you for your participation. Have a great day.